Operator: Good morning. Thank you for standing by and welcome to the Madison Square Garden Entertainment Corporation Fiscal 2024 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the call over to Ari Danes, Senior Vice President Investor Relations and Treasury. Please go ahead.
Ari Danes: Thank you. Good morning and welcome to MSG Entertainment's fiscal 2024 third quarter earnings conference call. On today's call Mike Grau, our EVP and Chief Financial Officer will provide an update on the company's operations and review our financial results for the quarter. After our prepared remarks, we will open up the call for questions. During Q&A, we will also be joined by Phil D'Ambrosio, our EVP and Treasurer. If you do not have a copy of today's earnings release, it is available in the Investors section of our corporate website. Please take note of the following. Today's discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Please refer to the company's filings with the SEC for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On Pages 5 and 6 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income or AOI, a non-GAAP financial measure. And with that, I'll now turn the call over to Mike.
Mike Grau: Thank you, Ari and good morning everyone. I'd like to start the call by saying how pleased I am to be joining you today. MSG Entertainment has a really strong portfolio of assets and a great team and I feel privileged and excited to be working with everyone to ensure the company delivers on our key business objectives. I'm certainly very grateful for the opportunity and also very optimistic about our future prospects. Along those lines, there are less than two months left in our first full year as a stand-alone public company and thanks to our strong results, we remain on track to deliver robust growth for fiscal 2024. In fact, a strong operating performance that led us to increase our full year revenue and AOI guidance in February has continued and we are now updating our financial forecast for fiscal 2024, including an increase to our expected AOI range for the year, which I will discuss in more detail shortly. Two main areas of driving this financial performance. First, the Christmas Spectacular 90th Holiday Season Run, which ended in January delivered yet another year of record-setting revenues for the production. And second, our booking business, has continued to grow and remains set to achieve a low double digit percentage increase in events for fiscal 2024. This includes contract growth across all of our venues with the Garden and Radio City, both headed towards setting new records for a number of concerts in the year. The strength of our financial results has enabled us to repurchase a substantial amount of our Class A shares for this fiscal year. And as we look ahead, we remain confident that our business is positioned to continue generating long-term value for our shareholders. Let's now review some Q3 operational highlights. During the quarter, our portfolio of venues hosted more than 1.5 million guests at over 200 live events. A majority of these events were driven by our bookings business, which delivered a double-digit percent increase in total concerts versus the prior year quarter. Key contributor to this increase was a strong multi-night comedy schedule. This included a combined 55 nights across Radio City, The Beacon, and The Chicago Theater from such access John Oliver and Seth Meyers Tina Fey and Amy Polo, Jerry Seinfeld, and Ali Wong among others. And as the volume of events at our venues continues to increase, we are pleased to see it matched by strong demand. For the third quarter, the majority of concerts at our venues were once again sold out. Sales of single night suites increased significantly and per-cap spending at concerts on food, beverage, and merchandise again increased on a year-over-year basis. Also during the third quarter, the Knicks and Rangers continued the 2023, 2024 regular seasons at the Garden. This included five more Knicks home games in the current year as compared to the prior year quarter. In addition to these extra matchups, Knicks and Rangers games followed the same trend we saw in our other live events, with increases in average per game revenues for food, beverage and merchandise sales. We also saw continued demand for our Premium Hospitality offerings. As we have previously discussed, the Garden introduced two new suite products this fiscal year, an Event Level Suite and a Luxury Event Level Club Space. We already noted that we secured a multiyear agreement for the Event Level Suite earlier this year. And to add to that, we are now close to selling out the Event Level Club Space and have started adding more seats to help match the interest that we are seeing for this Premium Hospitality drive. Before we talk about our financial results, a couple of points regarding presentation and comparability; first, I'd like to note that we have revised our definition of adjusted operating income, as it relates to the Arena License fees with MSG Sports. We are no longer removing the non-cash portion of the Arena License fees in our reconciliation of operating income to adjusted operating income, which is reflected in the financial results we reported today for all periods presented as well as in our financial guidance. You may recall that the Arena License fees are recognized on a straight-line basis, over the life of the 35 year agreements, which equates to approximately $68 million a year. For fiscal 2024 to $68 million will be comprised of approximately $43 million of cash revenue and $25 million of non-cash revenue. We will continue to disclose the non-cash component of the Arena License fees on a quarterly basis. And secondly, because the Company completed its spin-off from Sphere Entertainment in April of last year, our fiscal third quarter results are not fully comparable on a year-over-year basis. Results for the prior-year quarter, are based on carve-out accounting and do not reflect all of the SG&A expenses we would have incurred and we've been a stand-alone public company. Turning now to our financial results, for the fiscal 2024 third quarter, we reported revenues of approximately $228 million, an increase of 13% as compared to the prior year period. This reflected growth across our three revenue categories Entertainment Offerings; Food, Beverage and Merchandise, and Arena License fees. Revenues from Entertainment offerings increased primarily due to higher revenues from concerts and suite license fees partially offset -- offset by the absence of the NCAA East Regional Tournament which took place at the Garden in the prior-year quarter. Higher Food and Beverage revenues were primarily, due to an increase in the number of concerts held at our venues as well as the impact of five more Knicks games at the Garden during the quarter. This was partially offset by lower per concept food and beverage revenues which reflects a mix shift to more concerts at our theaters during the current year quarter and the increase in Arena License fees reflects the impact of five additional Knicks games in the quarter as compared to the prior year period. Third quarter adjusted operating income of 38.5 million, decreased by $11.6 million as compared to the prior quarter. These AOI results include $13.2 million of non-cash Arena License fees in the current year quarter as compared to $12.1 million in the prior year period. The decrease in AOI primarily reflects higher SG&A expenses. And as I mentioned earlier third quarter SG&A expenses are not fully comparable on a year-over-year basis. Moving on to our fiscal 2024 outlook, given the positive momentum in our business, we are updating our guidance for fiscal 2024. We now expect revenues of between $940 million and $950 million, versus our prior range of between $930 million and $950 million. The midpoint of this updated range it reflects 11% revenue growth versus fiscal 2023. We also expect operating income for the year of between $100 hundred and $110 million versus $95 million to $105 million previously. And adjusted operating income is now expected to be between $200 million and $210 million. This compares to our previous range of $195 million to $205 million with both prior and updated guidance having been adjusted to no longer remove the $25 million non-cash portion of the Arena license fees. Turning to our balance sheet. As of March 31st we had approximately $28 million of unrestricted cash. In addition, our debt balance was approximately $630 million consisting of a single-term loan facility with mandatory quarterly principal repayments of approximately $4 million per quarter. Looking ahead, we remain focused on our dual capital allocation priorities of opportunistically returning capital to shareholders and paying down debt. As a reminder, since our spin-off last year, we have repurchased approximately $140 million or about 10% of our outstanding Class A shares. We continue to have $110 million remaining under our current buyback authorization. In addition, subsequent to quarter end and through the end of April, we sold approximately 1.6 million shares in Townsquare Media for net proceeds of approximately $15.6 million as we continue to build our cash balance back up following our share repurchase and debt paydown activity earlier this fiscal year. In summary, we had another quarter that reflected the strength of our assets and robust demand for our business. And as we near the end of our first full year as a stand-alone company, we are continuing to offer consumers unforgettable experiences while delivering attractive growth for fiscal 2024. With that, I will now turn the call back over to Ari.
Ari Danes: Thank you, Mike. Operator, can we open up the call for questions?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Stephen Laszczyk with Goldman Sachs. Please go ahead.
Stephen Laszczyk: Hey, great. Thanks for taking the questions. Just to clarify on the AOI guidance, is it correct for us to be interpreting the revision on a like-for-like basis on your prior way of reporting as a move from $170 million to 180 million to $175 million to $185 million, so that would be a $5 million revision higher at the midpoint? And then fundamentally, just thinking ahead on Christmas Spectacular, it sounds like demand for live entertainment remains strong. I'd be curious for your updated thoughts on the opportunity to increase show count versus the opportunity to increase price or sell-through both this year and beyond for that property?
Mike Grau: Thank you, Steve. Thank you for the questions. Before I answer, I just want to quickly apologize to the audience. I know we had some technical glitches at the top of the call that forced us to stop probably 15 minutes later than scheduled. So we certainly apologize for any inconvenience, and we'll get that ironed out going forward. As for your questions, Steve, so on AOI guidance, your interpretation is absolutely correct. We've redefined AOI. We no longer make an adjustment for the non-cash portion of arena license fees, which for this year is about $25 million. So you're right, you take -- the previous guidance was $170 million to $180 million. You bump it up by $5 million is $175 million to $185 million. That's what's happening on an apples-to-apples basis. And then you add $25 million to the upper and lower bounds to get to the guidance we discussed, which was the $200 million to $210 million. As to your second question, on the Christmas show, we see a lot of runway actually on both fronts. In terms of number of shows -- to reiterate the calendar 2023 season show, we went out with 185 shows. And based on demand, we did add 8 shows, and so we did 193 shows. For the upcoming show, that's about six months away, we have released 197 shows for sales, and we do have the ability to add additional shows around the edges to the extent that's specified by demand. I'll also mention right now, the advanced sales pacing is pretty encouraging. Right now, our sales of Christmas shows tickets versus the same time last year, we're up about 35% in terms of gross revenue. So that encompasses both volume and price. It's a relatively small sample size because we're not actively promoting or marketing the show yet, nevertheless, kind of an encouraging trend. And so that's where we stand in terms of number of shows. In terms of ticket pricing and sell-through, I mean, that's almost a 2a and 2b, right, two different dynamics. In terms of sell-through, we did about a 90% sell-through for the Christmas show season just ended. That was up from mid-80s the year prior. We have in the past done as many as five percentage points or more higher than even the 90% that we just realized this past season. So we certainly think there's runway there for additional growth and profitability. Ticket yield tends to grow every year. That's sort of the nature of that thing. And 2023 was our highest ticket yield ever. Having said that, still a pretty healthy discount to what a comparable Broadway show might cost in the same time horizon. So that, coupled with the success we've had with dynamic pricing leads us to be very optimistic about additional runway on ticket yield as well. So we think we can grow the Christmas Spectacular on all of the fronts you mentioned, number shows, ticket pricing and sell-through.
Stephen Laszczyk: Got it. Thanks for all that. And then maybe one more, if I could on margin. In the past, I think you've called out some onetime margin headwinds you're facing this year. As we move past your fiscal 2024 and some of these come off. I’m curious how you're thinking about the opportunity for margin expansion and maybe some of the drivers in 2025 and beyond.
Mike Grau: Sure. So in 2024, as we discussed, we're on track to deliver very robust growth in terms of revenues but as well as some margin expansion. I'm going to steer away largely on this call from given very specific as to fiscal year 2025. We're still very much in the early innings of our budget process and that's something we'd be more likely to address in more detail on our year-end earnings call, which will be somewhere in the neighborhood of early August. But taking a step back and looking at this over the longer term, we see margin opportunities in a lot of areas in our business. On the bookings side, we see -- we still think we have opportunity to increase venue utilization. We've had a lot of success in 2024 in growing power event profitability and have reason to believe we can sustain that trend through 2025 and beyond. In terms of the Christmas show, we just talked about it, but I would highlight the sell-through and the ticket price yield is really drops straight down to the margin -- to the bottom line. So that's very margin accretive to the extent we make progress on those fronts. And then some of our ancillary but very meaningful revenue stream sponsorship and signage and premium suites, very high-margin revenue streams and again, runway for growth in both of these. In terms of sponsorship, we're entering a year in fiscal 2025 and beyond we will see more and renewal activity. Fiscal 2024 was relatively quiet in that regard. And that renewals we often have opportunities to price up the sponsorship deals or better yet even upsize them. We also have the OBG relationship, which we're really starting to gain some traction there. And we really have some really nice unique assets that we can add to that inventory as well. So also, to reasons to believe we can grow sponsorship revenue -- sponsorship and signage revenues going forward, which is very margin accretive. And likewise, on the premium front, we talked in some of our scripted comments about the success we've had in adding new suites and club space in 2024 and we think additional opportunities exist on that front as well. And last point I would mention would be on the expense side. We think our infrastructure is such that we can scale the business, get a lot of operating leverage. We don't think we necessarily need to add a lot of OpEx in order to support some of these growth initiatives that we're talking about. So we see a lot of opportunity over the long haul for margin expansion.
Stephen Laszczyk: Great. Thank you for that.
Operator: Your next question comes from the line of Daniel Duran with Morgan Stanley. Please go ahead.
Daniel Duran: Good morning and thank you for taking the question. You mentioned that your bookings business has grown low-double-digits in fiscal 2024. And I wanted to know if at this point you had any sense of what that would look like for fiscal year 2025. And on top of that, if you have seen any softening of per-caps or consumer spending as we've seen in other larger consumer businesses like McDonald's or Starbucks? Thank you.
Mike Grau: Thank you, Daniel, for the questions. Appreciate it. In terms of bookings, I think you have to look at that really in two parts. I think the arena and the theaters are slightly different animals in that regard. With the Arena, we've talked historically and still relatively -- still the case. The booking window tends to be about six to nine months out. So we do have enhanced visibility there. As we look at fiscal 2025 and the kind of the number of shows we have booked now versus the same point a year ago for fiscal 2024, I would say we’re up mid-single-digits for the full year 2025. And if I were to look at just the first half of 2025 probably up more like low-double-digits in terms of number of events. So, pretty encouraged by the current trends in terms of bookings on the arena. On the theaters, the booking window is a little shorter three to six months. So the pipeline is a little less developed and the visibility is not as good. Nevertheless, if we look at it the same way, we are up high-single-digits versus the prior year in terms of events booked at the theaters at this point in time. So look, we're coming off what will be a record year in fiscal 2024 in many respects as to event volume. We’re still pacing very nicely versus that record year. In regards to your second question, in terms of softening of consumer spending and demand, and you referenced McDonald's and Starbucks, we're not really seeing that. We see that on a couple of different data points that would support that. Most of our shows continue to sell out. For our fourth quarter shows, we're pacing ahead of the prior year in terms of our sell-through percentages versus where we were again same point last year. We still have a lot of apps that are selling, that are adding additional shows because of demand. So in terms of events and tickets, the demand is very healthy, which supports just what we're seeing in the live experience sector in general both here and amongst our peers. In terms of the per cap spending on food and beverage and merchandise, we are up low single digits versus the prior year for concerts. That's actually most notable would be arena, which is where the biggest opportunity is. The per cap spending of the Arena outpaces the theaters for a variety reasons and we're seeing even more robust growth there. So we're not really seeing a softening demand average. I would speculate that we enjoy certain tailwinds that I think maybe McDonald's and Starbucks don't in terms of again the kind of the burgeoning popularity of live experiences and the continued return of New York City tourism from the pandemic. So by virtue of that we are not seeing that kind of softening of demand.
Daniel Duran: Got it. Thank you, very much.
Operator: The next question comes from the line of Peter Henderson with Bank of America. Please go ahead.
Peter Henderson: Yes, good morning, and thank you for taking the question. Just wondering, if you can help us sort of think through the size of the potential benefit from extended run for both the Knicks and Rangers in the playoffs? And then also, just how much or how deep of a run for both teams is already contemplated in your guidance. Thank you.
Mike Grau: Thank you Peter for the questions. Appreciate it. So in terms of the benefit of an extended playoff run for the Knicks and Rangers, arena licensees as you're aware, Arena license fees I'm sorry we had a little noise -- arena license fees as I think you're aware under our fixed, but there are certainly variable revenue streams that we participate in and share with our partners at Sports. I'm talking about things like food and beverage, merchandise, single events, suite sales. So each event is incremental in that regard. As well as on a more macro basis, I think the team's success can drive attendance and renewals on a go forward basis. So our interests are very much aligned with the Knicks and Rangers in that regard. I mean look where New York based company, we're New York centric company, what's good for New York is going to be good for us over the longer haul, as well as in terms of short term economics. We do enjoy those variable incremental revenue streams. The flip side of that coin would be on the booking side. That's something we've become pretty experienced and adept at in terms of managing, potential conflicts, working with the league, working with artists and manage kind of optimizing scheduling. I think this week is a great example of that, right? We're just coming off a run of four consecutive days of home playoff games. And tonight, we'll have Billy Joel at the Garden. So that's just one data point to show, how we've managed to enhance flexibility around that. So you see that the Knicks and Rangers go on an extended run and world hopeful and optimistic that that will be the case. There could be a small subset of shows at risk and buyout risk, I mean at risk of being pushed into fiscal '25 and we've actually managed to hone that down to the point where the number of shows and question is really around low single digits. As your second question is, I'm not going to get specific on what's baked into our internal forecasts in terms of number of rounds. I'll just say that, our guidance encompasses, I mean the range of our guidance encompasses all these types of scenarios as far as how far the Knicks and Rangers go out. We would not change guidance for any of those outcomes.
Peter Henderson: Thank you.
Operator: Next question comes from the line of David Karnovsky with JPMorgan. Please go ahead.
David Karnovsky: Maybe just following up on that last point. I'm curious, you know, how many days in general does the Arena keep on hold when it does its planning process it may not hold for the playoffs. And what does the optionality to look at on a short term basis that those gains are in play recognizing this is less of an issue this year. And then following up on capital allocation, you noted the share authorization and I wanted to zero in on what circumstances would lead you to cash it restarted buyback? Thank you.
Mike Grau: Sure. So thank you, David for the questions. What I'm going to do is, I'm going to take your first question and then I'm going to ask Phil D'Ambrosio, our Treasurer who is with us to address your question on capital allocation. In terms of how many days we keep on hold, I'm probably not going to get into specifics other than to say, we generally have a kind of one and half, two-month window which is a playoff window for both hockey and basketball where we're again managing it in the manner I described earlier. We continue to book acts. There's certain language in the contracts for Axon this time day and date subject to change that kind of thing. We remain in constant contact with the league, with the sports teams with these acts in order to manage. And again, I feel like we've done a really solid job on the bookings team has become very adept and maximizing utilization during this window which can be challenging at times. But again, done a really nice job and we don't really have too many shows at risk as I alluded to earlier. You also asked about the ability to replace shows. I agree with you. That feels less relevant this year as both teams seem to be doing well, knock on wood. It depends on the type of the orders what the schedule is. It needs to be an artist that can sell out in a short period of time, is a narrow pool of artists who could probably satisfy those criteria. It's possible. And I don't know that it's probable, but it's certainly possible to book an event to sense something opened up unexpectedly. And with that, I'd like to defer to Phil if you could address the question on capital allocation.
Phil D'Ambrosio: Thanks Mike. Hi, David. So our capital allocation priorities remain unchanged. We have two; the first is opportunistically returning capital to our shareholders. And the second is debt paydown. Again since our spinoff last April, we've repurchased approximately 140 million of Class A shares outstanding, which represents about 10% of those Class A. shares outstanding. And we have remaining authorization for repurchases of $110 million. So on -- a go-forward basis we will continue to opportunistically seek attractive opportunities to return capital to shareholders. Turning to debt paydown as Mike noted our debt balance at the end of March is almost 600 million. And as we mentioned last quarter on our earnings call in early February and the December quarter we paid down the revolver completely. So on a go-forward basis, in terms of debt paydown we will simply continue to pay a quarterly amortization on our term loan of $4 million per quarter, but we're not planning to pay down any more debt beyond that. So when you think about leverage as the company continues to grow and to generate more AOI, the company will naturally delever. And when you keep in mind a substantial level of activity on the repurchase front over these last 11 months, currently we're focused on digesting that meaning we're going to build our cash balance up again. And as Mike noted we sold most of our position at Townsquare last month and generated just over $50 million of cash. So on a go-forward basis, we will rebuild the cash balance that syncs very nicely with the seasonality of our business. And at the same time, we're going to keep our eye on opportunities to return capital to shareholders.
David Karnovsky: Thanks.
Phil D'Ambrosio: Thank you.
Operator: Your next question comes from the line of Logan Angress with Wolfe Research. Please go ahead.
Logan Angress: Hi. Thank you. First I'm curious with the Garden only available for a relatively fixed number of days throughout the year, but with more and more artists touring or at least watching this or have you seen that supply demand imbalance translate to pricing at the Garden. And then I'm curious obviously Christmas Spectacular has been a big success. I'm curious how you think about opportunities to potentially move more into owned and operated shows more year round or is the focus just to continue growing Christmas Spectacular? Thank you.
Mike Grau: Thank you, Logan for the questions. And in terms of your first question I think you're right on the money. I think we speak speaking specifically to the arena at the Garden. We are very well-positioned in terms of supply and demand here on the supply side we'll do about 245 total events at the arena in fiscal 2024 which as we mentioned previously would be an internally a record for us. That does equate to about 70% utilization relatively flat year-over-year. We managed to minimize the number of loading days and we've had some success in building having multimedia. So while number of events is up utilization is relatively flat. I think there's some runway to improve that. But there is a scarcity of supply around it. You're absolutely correct in that regard. And then in terms of demand we do see more and more artists touring. We do see live experiences and live entertainment being very popular and the Garden as a premium venue artist one player we often have promoters that will book US first and then build the rest of the talk around that to make sure they can get it for us. So I think we do have some pricing power versus other venues in that regard. In terms of where we sit in the supply and demand curves. The point I would make that's not necessarily a new dynamic is reflected in the rates that we charge currently. We re-examine our pricing continuously especially now doing while we're in a budget process and within the context of these market dynamics. But so it's not a new dynamic, but we are very well-positioned in that regard. In terms of your second question on the Christmas Spectacular, the Christmas Spectacular is a very unique franchise with a very unique and kind of one-of-a-kind history. We did put up record revenues this past season. It's bounced back very nicely from the pandemic. And the economics are definitely different than some of the other shows we run through the content ownership. Right now and you kind of alluded to this in response to an earlier question our focus is on maximizing profitability of the Christmas show through a number of shows through ticket yield twos to sell-through. And in terms of the show itself we will continue to make modest refinements to in terms of upgraded technology, content refinements whether it's adding scene, modifying scene. Example last season, we added some drones. We had it of course varies seems that the show all of which was very well received. So we'll continue to refine and upgrade the show in that regard. And we will continue to remain focused on the Rockettes brand, but that's where the focus is on growing the profitability of the existing Christmas show. We're not -- we don't have any plans currently. We've developed more owned content or new productions in that regard. Thanks, Logan. Operator, we'll take one last caller.
Operator: Your final question comes from the line of Paul Golding with Macquarie Capital. Please go ahead.
Q – Paul Golding: Thanks so much for taking the question. Mike was wondering, if you could elaborate a bit more on how the Oak View relationship is going and I think you referred to it in relation to sponsorship and finance. So wanted to get a broader view of how that's driving the business and if you're seeing any tangible uplift at the moment? Thanks.
Mike Grau: Thanks, Paul. Thanks for the question. So our relation with Oak View Group and their subsidiary Crown properties. We announced it last September and really initiated October 1. And right now the structure of the deal is such that Crown properties leads all of our sales and sponsorship signage inventory, for all of our venues and for all of our live entertainment properties, we continue to retain certain functions in-house. We have a certain legacy expertise and constantly -- with Crown properties quite frankly daily, if not more frequently. And all activation and fulfillment responsibilities in regard to these sponsorship deals, which can be complex continues to reside with us internally. We're definitely encouraged by the momentum we're seeing right now. We've had a couple of nice wins of late, that are either closed or right at the finish line ,we've seen the pipeline is growing much more robust as time goes on. So feel -- this is a long-term deal, that we have and we expect it to be a long-term relationship and all the reasons, we entered into this deal is starting to manifest themselves. I think we're still in the early innings of that deal, but it definitely feels like we're getting some traction right now in the marketplace. And we're seeing some trends that make us very encouraged and kind of validate the fact that our initial rationale for entering into this deal something, we'll continue to talk about going forward, but we're very encouraged and optimistic right now. Thanks so much.
Q – Paul Golding: Thanks so much.
Operator: I will now turn the call back over to Ari Danes for closing remarks. Please go ahead.
Ari Danes: Thank you all for joining us. We look forward to speaking with you on our year-end earnings call in August. Have a good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.